Operator: Welcome to the Anheuser-Busch InBev Third Quarter 2015 Earnings Conference Call and Webcast. Hosting the call today from AB InBev is Mr. Carlos Brito, Chief Executive Officer. To access the slides accompanying today’s call, please visit AB InBev’s website now at www.ab-inbev.com and click on the Investors tab. Today’s webcast will be available for on-demand playback later today. At this time, all participants have been placed in a listen-only mode and the floor will be opened for your questions following the presentation. [Operator Instructions] Some of the information provided during the conference call may contain statements of future expectations and other forward-looking statements. These expectations are based on the management’s current views and assumptions and involve known and unknown risks and uncertainty. It is possible that the company’s actual results and financial condition may differ possibly materially from the anticipated results and financial conditions indicated in these forward-looking statements. For a discussion of some of the risks and important factors that could affect the firm’s future results, please see Risk Factors in the company’s latest Annual Report on Form 20-F filed with the Securities and Exchange Commission on March 24, 2015. AB InBev assumes no obligation to update or revise any forward-looking information provided during the conference call and shall not be liable for any action taken in reliance upon such information. It is now my pleasure to turn the floor over to Mr. Carlos Brito. Sir, you may begin.
Carlos Brito: Thank you, Jackie and good morning and good afternoon everybody. As you know, on October 13, the boards of AB InBev and SABMiller announced that they had reached an agreement in principle on the key terms of a possible recommended offer to be made by AB InBev for SABMiller. Most companies are now working hard together towards the announcement of formal offer under the UK takeover patent rule 2.7. While the proposed combination with SABMiller is an exciting next step in our story, the focus on today’s call is on the organic growth of our business and our third quarter results. So, let’s start with the highlights. First, let me say we are very pleased with the strong revenue and EBITDA growth results in the third quarter. Our three global brands delivered an outstanding volume and revenue performance. In the U.S., while market share remains a challenge, the industry continues to show improvement and our incremental investments are driving good results. Our team in Mexico delivered great results with a strong performance from our focus brands. Brazil also delivered solid revenue growth driven by our core brands and premiumization initiatives. In China, we are outperforming the industry and gaining share based on our strategy of focusing on the women’s segments and channels. In Europe, our team delivered a very good performance, especially in Western Europe, despite the overall decline in the beer market by focusing on the growing segments and geographies. Looking to results in more detail now. Total revenues grew by 7.9% in the quarter with strong revenue per hectoliter growth of 7.8% on a constant geographic basis, helped by growth in total volumes of 1.5% and on beer volumes up 2.3%. Volumes of our focus brands grew by 2.9% and our three global brands delivered their best quarter ever with volumes growing by 11.5% and revenues growing by 15.9%. EBITDA grew by 9.6% with EBITDA margin expanding by 58 bps to 38.7%. These results was driven by a very strong top line performance as well as the benefit of a favorable comparable following a very challenging third quarter last year when our results were affected by several one-offs in the U.S., Brazil, Mexico. Normalized earnings per share decreased $1.02 from $1.42 with good organic growth in EBITDA being more than offset by unfavorable currency translation and higher net finance costs. Felipe will explain this in more detail later. Finally, the Board has approved an interim dividend of €1.60 per share for the fiscal year 2015 with the dividend payable as from November 16. As I said, the third quarter was the best ever for our global brands with double-digit volume and revenue growth. Each of our three global brands grew double-digits in the quarter with combined volumes up 11.5%. This is a great result and shows the benefit of making the right brand choices, leading to consistent global messaging and market acceleration. Stella Artois had a great quarter and delivered volume growth of 12.9% with good results from the UK, U.S., Canada and Argentina. Global Budweiser grew 11.5%, led by China, Russia and UK and a continuing recovery of the brand in the U.S. Finally, Corona volumes grew by 11.1% driven by strong performances in Mexico and most of our global export markets. We remain very excited about the growth potential of this unique super premium brand. Global brands volumes were up 11.5% in the quarter. But more importantly, revenues were up 15.9% and 12.5% to-date. The success of our three global brands and our premiumization initiatives in general has led to an amendment of our full year 2015 guidance for revenue per hectoliter growth from in line with inflation to ahead of inflation on a constant geographic basis. The highly expected premium brand volumes also drives a change in our guidance for the growth in cost of sales per hectoliter from low single-digits previously to low to mid single-digits, again, on a constant geographic basis. Of course, this increase in cost of sales, which is driven by the higher production and packaging costs associated with our premium brands is more than offset by the increased revenue per hectoliter. Turning now to the results in the U.S., the U.S. industry continues to improve on the back of an improved macro situation. We estimated that industry sales to retailers, STRs, were essentially flat in the quarter and down only 50 bps year-to-date. This compares to a decline of approximately 80 bps in the first nine months of last year. We continue to expect the industry volumes to improve in the full year 2015 compared to last year. Our own STRs were down 2.1% in the quarter, while our STWs, sales to wholesalers, grew by 1.2%, benefiting from an easy comparable versus the third quarter last year. We still expect our STRs and STWs to converge on a full year basis. The market share performance in the quarter was disappointing, declining by approximately 90 bps due to difficult comparable. In the third quarter last year, we had a very strong share performance from Bud Light and our value price, which led to a total market share loss of only 30 bps compared to the third quarter of 2013, creating a tough comparable for the third quarter this year. We estimate that our total market share declined by approximately 65 bps year-to-date. Revenue per hectoliter grew by 1.5% in the quarter, an improvement over the second quarter trend, helped by a positive brand mix contribution from our above premium brands. EBITDA for the U.S. was up 3.4% in the quarter on an organic basis with EBITDA margin growing by approximately 14 bps to 40.4%. Although our share performance in the U.S. remains a challenge, there are many things that we are working well. Industry STRs are improving an encouraging trend as we work towards returning the industry to growth. We have also stepped up our investments in the U.S. over the past two years and are pleased to see that investments behind our brands are delivering results. Budweiser is having the best year in decades and Bud Light Lime is growing again, helped by the new glass bottle. Michelob Ultra continues to be the fastest growing brand in the country by absolute volume so far this year and Stella Artois is growing double-digits. Our Craft strategy is also working. We are seeing good results from Goose Island and all four of our recent Craft acquisitions are performing well and gaining share. Our Craft, another high end brand is doing especially well in the on-premise channel, where brands are built. And we have gained share in this channel every quarter this year. Our value brands also gaining share in various segments. So although our market share in the U.S. is not where we want it to be, many things are working well and driving us in the right direction. But we have gaps, Bud Light is at the top of the list. The brand faced a tough market share comparable this quarter after a great quarter last year. We are working hard to identify the right positioning and messaging for the brand, a new creative for 2016. We are also facing significant competitive pressure in the near beer segment, which is impacting the performance of the Rita’s Family. We are committed to continued leadership in this segment and have plans in place to address the gaps. Finally, we need to build a more substantial presence in the Mexican Imports segment. We have made a start with [indiscernible], but there’s a lot more to be done. Turning now to the performance of our brands in the U.S. Bud Light faced a difficult comparable, I said before. With the third quarter last year benefiting from the first whatever you want to take activation and the rollout of the aluminum bottle resulting in the gain of nearly a full share points in the premium light segment last year. In 2015, Bud Light STRs are down low single-digits during both the quarter and year-to-date with some share loss in the premium light segment. The third quarter saw the introduction of the NFL tin cans, which have been very well-received by consumers. These cans which are available for the 28 teams we sponsored have resonated with fans and have helped Bud Light brand help. Many of our other brands in the U.S. are performing well and this inevitably puts pressure on Bud Light. Nevertheless, we still have more work to do on the brand and are excited about our new agency partnership with Wieden and Kennedy. The initial work is very promising and we are looking forward to introducing revolutionary new creative early next year. Turning now to Budweiser, Budweiser continues to deliver one of its best volume and market share results in recent years, driven by successful campaigns emphasizing the brand’s quality and heritage credentials. STRs declined by low single-digits in the quarter with the brand’s share of total market down by only 15 bps in both the quarter and year-to-date. The Brewed the Hard Way campaign has struck a chord with many beer drinkers and we have been very disciplined in continuing that message through the Bud and burgers summer campaign and our Made in America program. The increased investment behind the brand is making a difference for sure. Our portfolio of above premium brands are performing well, gaining approximately 30 bps of share in both the quarter and year-to-date. Michelob Ultra is having an amazing year and is an important driver of the above premium segment’s performance. Ultra continues to be the fastest growing brand in the country with the great share results and a healthy margin contribution. Ultra delivered double-digit volume growth in the quarter and Goose Island IPA is on fire, up nearly 150% year-to-date. As I said earlier, I am very pleased with our Craft strategy overall. All four of our recent Craft partnerships, Blue Point, 10 Barrel, Elysian and now Golden Road are showing good growth this year and making important contribution to our wholesales portfolio. These performances are being boosted by investments we are making in the on-premise, where we have gained share every quarter this year. This strong performance is at near – have been partially offset by disappointing results from the weaker sale with the increasingly competitive near beer segment. We have plans in place to address our performance gap, including the introduction of Rita’s Splash, a local line extension available in glass. Moving now to Mexico, we continued to be very pleased with the results from our Mexican business, which delivered particularly strong volume, revenue and EBITDA growth in the quarter. Beer continues to be a very healthy category in Mexico with good volume growth in all regions of the country and gaining share of total alcohol. Our volumes grew by 11.5% in the quarter, driven by the favorable macroeconomic environment in our own commercial initiatives. We saw especially good performances from Corona, Bud Light and Victoria. Revenues were up 14.2%, supported by revenue per hectoliter growth of 2.3%, driven by our revenue management initiatives and positive brand mix from the growth of Bud Light. The strong top line results and the delivery of a further $60 million of cost synergies bringing the total to $830 million led to growth in EBITDA of over 20% and margin expansion of more than 250 bps to 51.7%. Volumes of our Focus Brands, which represent over 90% of our Mexican – Mexico volumes grew by 12.2% in the quarter. This strong performance from the quarter was driven by successful activations with Corona, Bud Light and Victoria, including a great Corona summer soccer campaign, which contributed to a particularly strong quarter for Corona Extra. Bud Light’s Music for Today campaign and Victoria’s 150th anniversary campaign supported by regional activations drove strong double digit volume growth for both brands in the quarter. Turning to Brazil, beer volumes benefited from favorable weather and an easy comparable versus the third quarter last year when we experienced some slowdown following the FIFA World Cup. Our beer volumes were up 3.5% in the quarter, helped by the growth of our premium and near beer brands would reach nearly 9% of our total volumes. We estimate that our beer market share was up sequentially, but down year-over-year reaching a level of 67.8%. Our beer revenue per hectoliter result was solid with growth of 10%, reflecting our revenue management initiatives, increased own distribution volumes and premium brand mix. This balanced top line result helped to grow EBITDA in Brazil by 9.2% in the quarter with revenue growth partially offset by higher cost of sales driven by inflation, foreign exchange and product mix, higher distribution costs mainly due to increased weight on own distribution and the timing of variable compensation accruals. EBITDA margin declined by 59 bps to 50.2% during the quarter, but it’s up 174 bps to 49.9% year-to-date. The macroeconomic environment in Brazil remains challenging. And in this context, our commercial focus is to maintain a healthy balance between volume and revenue per hectoliter growth, building on our affordability impact by strategies, supported by strong disciplined field execution. At the same time, we will continue to elevate our core brands, Skol, Brahma and Antarctica in the minds of the consumer, building on the strong consumer preference that these brands have build over the years. Affordability remains very high on our agenda for core brands and our packaging mix strategy, including a deepened focus on returnable glass packages is a key initiative in offering more affordable products to consumers while retaining profitability. Innovation is also key in elevating the core. And during the third quarter, we introduced the Skol Ultra, a low-carb, low-calorie beer. Skol Ultra has been able to capture consumer interest in active lifestyle brands and has contributed to Skol’s already high brand health scores. Skol is an official supporter of the Rio 2016 Olympic Games and we anticipate that Skol Ultra will be important component of our Olympic activations. Despite the challenging macro situation in Brazil, premium continues to grow with plenty of opportunities for further growth. Corona, in our recent Craft brand acquisitions, had been great additions to our premium portfolio. Finally, we see the near beer occasions to gain share of alcohol. Skol Beats Senses has had a great performance since its start in 2014 with approximately 70% of its volume coming from outside of beer, all from competitive brands. We are confident that Skol Beats Senses and our strong innovation pipeline in near beer will help us to gain share of total alcohol in Brazil. Moving now to China, in China economic headwinds and poor weather led to decline in industry volumes in the quarter. We estimate industry volumes were down almost 7% in the quarter and down over 5% year-to-date with most of the impact being felt in the value and core segments. Our own beer volumes declined by 1.3% in the quarter and were up 0.5% year-to-date with our focus on the faster growing core plus and premium segments leading to an estimated market share gain of 104 bps to 18.7% in the quarter. Budweiser remains the engine of growth with volumes up double-digits in both the quarter and year-to-date. Our revenue per hectoliter performance remains robust with the growth of 7.9% in the quarter with improved brand mix continuing to be the major driver. China EBITDA increased by 7.9% with EBITDA margin up 29 bps to 23.3%. As we highlighted during investor seminar in Guangzhou in September, China is too big and too complex to use averages. You must look beyond the averages and focus on the right geographies, right channels and the right segments, those geographies, channels and segments that are growing. Instead of looking at the Chinese beer industry in total, we break it down in different segments. The chart on Page 17 shows that future growth is expected to come from the core plus premium and superpremium segments, exactly what we have been – what we have chosen to compete. Our strong portfolio of brands, Harbin, Harbin Ice, Budweiser, Stella Artois, Hoegaarden and Corona means that we are very well positioned to win in these growing segments. Our three focus brands represent 71% of our volume in China. Budweiser delivered great results and continues to strengthen its leading position in the international premium segment. During the quarter, we had a specific focus on music, including collaborations with leading artists and a strong execution of Electronic Dance Music festivals. Harbin also continues to strengthen its position among young Chinese adults. The new music video released by Harbin Ice in August became a hit song on all Chinese music charts and very popular with young adults in KTVs. With that, I would like to hand over to Felipe, who will take you through some further detail in our third quarter results. Felipe?
Felipe Dutra: Thank you, Brito and good morning everyone. Slide 20 shows the EBITDA breakdown by zone for both the third quarter and year-to-date. Total company EBITDA grew organically by just under $450 million, or 9.6% in the quarter driven mainly by the strong top line result and good cost of sales performance. This was partially offset by increased sales and marketing investments. We have continued to invest behind our brands and we see a further step up of the investments in the fourth quarter consistent with our guidance for full year growth in sales and marketing investments of mid to high single-digits. Turning to our EPS and the low EBIT results, normalized earnings per share decreased to $1.02 from $1.42 in the third quarter last year as the evidence was due to an improvement of $0.21 per share driven by organic growth in EBIT, which was more than offset by higher net finance results and unfavorable currency translation, particularly the Brazilian real, the Mexican peso and the euro. Net finance costs in the quarter were $810 million compared to $366 million in the same period of last year. This increase of $444 million was due to the negative impact of the mark-to-market adjustments linked to the hedging of our share-based payment programs, which led to a negative year-over-year stream of $729 million. This resulted from a reported loss of $585 million in the third quarter this year compared to a reported gain of $144 million. This negative swing in the mark to market adjustment was partially offset by positive currency results and other hedging costs of approximately $268 million and lower net interest expense of $39 million. Our normalized effective tax rate for the third quarter was 26.8%, up from 19.7% in the third quarter of 2014. This increase is mainly due to the negative impact from the mark-to-market adjustment related to the hedging of our share-based payment programs, which is non-deductible. Our normalized effective tax rate guidance for the full year 2015 remains in the range of 20% to 22%. As a reminder, this guidance continues to exclude the impact of any future gains and losses related to the hedging of our share-based payment programs. Moving on to the interim dividend, the Board has approved an interim dividend of €1.60, that will be payable from November 16. As I have said on previous occasions, it is our intention to move towards a more balanced split between the interim dividend paid in November and the final dividend for the fiscal year, which is paid this following day. Finally, before closing, I would like to stress that our capital objectives remains unchanged in terms of allocation. Our first priority will always be to invest behind our brands and to take full advantage of our organic growth opportunities in our business. M&A remains our core competencies and we will always be ready to look at opportunities when and if they arise provided that the target deal structure and price makes sense. We recognized that of growing dividends over time consistent with the low volatility of announced cyclical business and our goal is to reach a dividend yield between 3% to 4% in line with other consumer goods company. Our optimal capital strength remains a net debt EBITDA ratio of around two times. And at this level, the return of cash to shareholders is expected to consist of both dividends and share buybacks. And with that, I will hand back to Jackie to begin the Q&A section. Thank you.
Operator: [Operator Instructions] Thank you. Our first question is coming from Trevor Stirling with Bernstein.
Trevor Stirling: Good morning, Felipe and Brito. Two questions from my side please. I was wondering if you can give us a little bit more color on what you are doing to address Bud Light, the weakness on Bud Light? And the second question is you obviously benefited as you mentioned from the World Cup facing last year and the weather this year in Brazil. Could you give us an estimate of what you think the underlying beer volume trends are in Brazil at the moment, excluding those two factors?
Carlos Brito: Hi, Trevor. So, in terms of Bud Light, I mean, again, an amazing brand, number one brand by far in the U.S, close to between 18% and 19% share. So, we are very happy to have this brand in our portfolio. On the other hand, there are gaps in terms of maybe packaging and some position of the brands that we need to refresh. We need to change the agency. We think Wieden+Kennedy is an agency with an amazing track record of being very creative during the times. And I think that’s the kind of agency and business partner, more importantly that we need to deal with such a huge brand in such a fragmented market. So, as you think about it, in a market that’s as fragmented as the U.S. is the brand that commands that kind of market share. It’s something amazing. So, the brand is very strong. But of course, given the more options you have in the marketplace, the way the planograms are being divided by all the other brands that will be implemented, brands as big as Bud Light tends to suffer more, because that’s where most of the share is, so once of five beers in the U.S. is Bud Light. So, again, we are very excited to begin next year, we are going to have what we think is going to be revolutionary in terms of trying to understand where the brand came from and trying to learn from its amazing 20 plus years history from zero to a market leader in the U.S. and playing that back in a more contemporary way playing back to some of these rituals. So, I mean, very excited. There will be also some packaging refresh and visual identity. So, I mean, lots of things that’s only fair for a brand of this size. So we think we have been unfair for the brand, so our fault, not the brand’s fault. We don’t believe in anything about brand having cycle. We believe in brands that are well managed and brands that could be better managed. And Bud Light is one of those that could be better managed and that’s what we have for next year. In terms of World Cup facing, I mean I don’t have any specific numbers to give you. But again, in terms of Brazil, for the full year we expect our net revenues to grow by mid to high single-digits helped by continuing growth in premium, among other things. So that’s the – what we can say to have a total picture for the year in Brazil.
Trevor Stirling: Thank you.
Carlos Brito: Thank you.
Operator: Our next question comes from the line of Edward Mundy with Nomura.
Edward Mundy: Hi, good morning everyone. A few questions, please. You had a obviously a very strong result in the global brands in this quarter. I mean, how do you think about the opportunity for these global brands in parts of Africa or in Latin America we don’t currently have operations? And secondly, for the Rita’s, you mentioned Rita’s Splash, can you comment on where do you think the hard root beer there was to Rita’s Family?
Carlos Brito: Yes. In terms of global brands, I mean that has been a topic that we have been very excited for a long time. I mean we believe that the three global brands we have are complementary to each other in terms of occasions in which they have most of their volumes in terms of their positioning. And we believe it’s a great portfolio to grow and conquer the world “in terms of beer brands”. We believe beer has been a very local brand, local business, different than any other consumer goods you look out there. So I think there is an amazing opportunity for us to drive these three global brands and really capture what consumers in all markets today want in some occasions, which is more of a global citizen type brand. And those are the things we offer. So we have amazing brands, amazing sponsorships. And as we continue to increase our footprint within ABI of today, with these brands that offers amazing opportunities and great margins. And that’s of best of all, great margins. In terms of Rita’s, it’s – we have had it this year, for sure. But again, I think about this 5 years ago, our F&B participation, where shares in that segment is zero and we came to market leadership within that segment. Having said that, the gaps we have is that we globally now achieved let’s say. But wrongly we stayed in one part of the market, the higher alcohol segment. And there was a lot of activity in both the higher and the lower segment – alcohol segment. And we didn’t capture any of the activity in the lower alcohol segments. So now with Splash, we are coming with the competitive solution for that segment. Again, very high margins, very incremental and Rita’s Splash should not only play on that lower alcohol segment, but also offer a glass SKU or glass package that was now also not present in the higher ABV Rita’s presentation, so not only lower ABV, but also the glass package. And that’s again, two words to yes, sales [ph] will start mid-December, so we will see. But again, it’s a segment out there, it’s going to market, we want to have a piece of that.
Edward Mundy: And do you think the flavor of hard root beer would work for the Rita’s?
Carlos Brito: Well, again, I can comment a lot on the competitive strengths I am saying that involves an introduction of the new product. But again, we think it addresses some of the gaps you have in the F&B in the Rita’s, which is low alcohol and glass.
Edward Mundy: Okay, thank you.
Operator: Our next question comes from the line of Robert Ottenstein with Evercore ISI.
Robert Ottenstein: Great. Thank you very much. Brito, I have got some other questions that are related to Bud Light, coming back – coming at it from a couple of different angles. One, could you talk a little bit about the strategy for Bud Light in Mexico, where it’s positioned price versus mainstream and how your efforts in Mexico may impact the brand in the U.S. with Mexican/American consumers. And then second also on Bud Light is how much interaction is there with Michelob Ultra, how much of that – how much cannibalization do you think is going on there?
Carlos Brito: Yes. Two good questions, Robert, so Bud Light in Mexico, we are very excited, the brand is on fire. Price wise, it’s a 15% premium to our core brands. We still have some issues in terms of logistics because we are bringing some of it from the U.S., some of it being produced in Mexico. So we should tighten capacity, that’s why, among other things, that’s why we are building a new brewery in the Yucatan Peninsula. And again, the brand continues to grow especially in the Northern part of the country, but it’s also driven throughout the country, so good margins. And I think you are right. I think at some point, we do expect it to start influencing Mexican consumers or Hispanic consumers back into U.S., because of course they do – trends to travel back and forth. So that’s a very good point. In terms of Bud Light, for sure I mean as Ultra grows the superior light beer, there was some kind of cannibalization. The good news is that the margins are better, so cannibalized at a better margin. So that’s all part of having a big brand like Bud Light. And then if you have a portfolio brands and some of the new brands are growing, some of it will be incremental, some of it will be cannibalistic. That being said, this quarter, Bud Light suffered a lot because it had a third quarter last year, which was an amazing quarter, given the promotion activity we have on around Bud Light and also the aluminum can and the aluminum bottle and the 25-ounce can, all gave Bud Light last quarter a 1 percentage point gain within light segment. So that’s something that’s a [indiscernible].
Robert Ottenstein: Great. And just as a last follow-up, this is related to Bud Light, but also marketing in general. You have spent a lot of money on the NFL. What does your data tell you in terms of the kind of return on investment you are getting for that with Bud Light. And do these big mainstream properties have the same kind of impact in the current generation of drinkers as they did in the past?
Carlos Brito: Yes. Big time, I mean we are very happy with NFL’s agreement that we have in the sponsorship. Of course, as consumer change, the media habits and the way they interact with sports and the NFL. We are also changing together with the league on properties and things we can activate. And the NFL has been a very good partner in agreeing with us on changes that we need to do to continue to be relevant with that consumer base. So again, a great partnership, we respect them a lot. They have a great business. And again, the number one sports in the country could all be associated with the number one beer in the country. So that makes total sense.
Robert Ottenstein: Thank you.
Carlos Brito: Thank you.
Operator: Our next question comes from the line of James Edwardes Jones with RBC.
James Edwardes Jones: Yes. Good morning. Two quick ones, please, you recall the 6% dividend increase was very notable, do I take it from your comments, Felipe that there is no change to your previously stated dividend policy and there won’t be following a successful acquisition of SAB. And also on Mexico, should we regard the strength of the sales performance in Q3 as indicative of the underlying trend of this business or where there are some one-offs in there?
Felipe Dutra: Yes. Hi. Well, on the dividend, we have an increase on the May dividend that was about 40%. And as we are looking towards our more balanced payment between May and November, naturally the November on this case increase was more relevant than the one we implemented in May. Our capital allocation strategy remains unchanged. As we have stated and it’s too early to speculate on the May dividend for next year.
Carlos Brito: And in terms of Mexico James, the macro environment was very positive. And also we had our brands firing on all cylinders, 90% our all business there in Mexico is all based on Focus Brands, brands that we invest heavily behind. Corona had an amazing summer soccer campaign during the third quarter. Bud Light contained called Music for Today and some regional activations, especially in the North, very important. And Victoria celebrated its 150th anniversary with its special edition packs and a lot based on traditions of Mexican heritage. So all those three brands fired on all cylinders and they have very good momentum.
James Edwardes Jones: Thank you.
Operator: Our next question comes from the line of Nik Olivier with UBS.
Nik Olivier: Hey, good morning. Can I just come back to the improving trends for Budweiser in the U.S.? Can you talk a little bit about how that differs between consumer segments? And if you are seeing a similar improvement with millennial consumers as you are for the overall brand? Thank you.
Carlos Brito: Well, with Budweiser, we are very excited. I mean, it’s not this quarter it’s been now a couple of quarters, couple of years. I mean, this will hit the market with our new campaign, Brewed the Hard Way. A lot of our consumers that our Budweiser consumers felt supported in their choice and that was important that the brand speak – this time as the brand spoke out given everything else that’s happened in the marketplace in terms of fragmentation. And the brand went back to talk about heritage and quality messaging. So, that was very important had it been sometime that the band had not really focused on heritage and quality and that made a difference in a very strong bold statement, macro we stand, that’s Budweiser. And that has also appealed to LDAs, because LDAs, as it happens in many industries like this more vintage and more iconic brands as well as they are presented in a contemporary way. So, we are seeing LDAs that had never been touched so much with Budweiser being now able to support. And again, the platforms are very millennial, when you think about it. Bud & Burgers, Music, so a lot of things that will really provide opportunity for sampling for this young LDAs, so that has been very good for the brand and the results are showing.
Nik Olivier: Great, thanks very much.
Operator: Our next question comes from the line of Anthony Bucalo with HSBC.
Anthony Bucalo: Good morning, everyone. Just two quick ones. The first one is in the release, it says that 9% of your volumes in the quarter in Brazil were premium or near – or I am sorry, near beer. What can we compare that to and where do you see that going in the medium-term? And the second is from the InBev release this morning it looks like Corona is having a lot of success across South America. Can you speak to how the brand is interacting with your existing portfolio? Are you seeing any cannibalization and are you bringing new consumers? Are you building market share? It looks like Chile in particular was successful. Thanks.
Carlos Brito: Yes, two very good questions in premium. I mean, in Brazil, you remember that premium was back in terms of industry in our own portfolio at 6%, so now growing to 9%. When you look at the preference of premium brands in Brazil, they are more like around 20%. So, we will see that this growth could continue if you put these two numbers together. And we have an amazing portfolio of premium brands the international premium or local domestic premium. And this interaction is working really well. Corona in Latin America, I think was – I think it was your second question, doing very well, most specifically in South America, doing very well. I mean, it’s a brand that has a very high price point in those geographies. And so yes, it does cannibalize a little bit. It’s mostly incremental we see today, because some of the parts are different, because they are going from more quality distribution and giving you the price is way over index compared to our average portfolio. It’s something that really captures a different location, different consumer. So, very happy with it, we think it’s an amazing brand that really complements our business there.
Anthony Bucalo: How was it generally priced against a Budweiser or Stella Artois?
Carlos Brito: Way above. I mean, it depends on the country. But if you look at Argentina, the pricing mix is more like 300% or a little more than that. In Brazil, if you buy the regular beer at 2, it’s priced at north of 4. So, I mean, it’s really a very, very interesting and the most premium brand we have in our portfolio.
Anthony Bucalo: Great, thank you.
Operator: Our next question comes from the line of Andrew Holland with Société Générale.
Andrew Holland: Yes. Just a sort of procedural one, if I may. Can you just remind us what the major scope changes were in the quarter in particular, in North America, Mexico and LatAm South, because obviously that had something of a bearing on the overall figures?
Felipe Dutra: Andrew, I am going to ask Graham to follow-up with you on the overall figures.
Andrew Holland: Okay, thank you.
Felipe Dutra: You are welcome.
Operator: Our next question comes from the line of Andrea Pistacchi with Citi.
Andrea Pistacchi: Hi. Yes, I have two questions please. The first one is a follow-up on Mexico you say that the industry, the category is healthy there. Is it fair to say that we are viewing Heineken now in the market both investing there possibly the underlying growth rates of the beer category there, has sustainably or structurally and maybe increased from the stronger 2%, 3% historical level? And the second question is on costs I think at Ambev, you have reduced the COGS per hectoliter guidance for Brazil. And also in North America, I think your COGS per hectoliter declined about 3% in the quarter. So, in North America, is this also driven by which is what you are saying about Brazil more focused on cost management. You stepped up your efforts there. And whether broadly across the company, is there an increased focus at this stage on cost management efforts?
Carlos Brito: Andrea, in terms of the first question on Mexico, I mean, we are not giving guidance in terms of where we think that the industry will be given what the players are doing there. We are not in a position to do that. But what we see is that the macros are very good. Our brands are performing very well. And Bud Light, Corona, Victoria and that’s going to be interesting, not only for, I mean, for the beer category, quite frankly, I mean, to capture share from total alcohol. So, that’s why we have at this point, say.
Felipe Dutra: Well, on the cost side, in Brazil, the change or slightly change in cost of sales per hectoliter is more driven by package mix. While in our case from the global perspective, there is likely increase from low single-digit guidance for the full year to low to mid single-digit guidance is very much driven by higher growth of global and premium brands, which naturally lead to higher revenues, which also triggered the review of the net revenues per hectoliter growth guidance from – in line to inflation to above inflation net-net. All of this is all accretive at the margin level.
Andrea Pistacchi: So, I think though in the U.S., if I have done met numbers quickly your COGS per hectoliter decreased. Is that a function of – is that the case on these – what is driving that?
Felipe Dutra: Well, if the quarterly numbers very carefully, they have this shipment and depending on the shipment part and the packages and so on and so forth, more aluminum, less aluminum that may have this and this, the previous quarter that may have an impact. We highlighted the fact that last year aluminum was big introduction of several packages and therefore on a year-over-year comparison, you may have an impact.
Andrea Pistacchi: Okay, thanks.
Felipe Dutra: You’re welcome.
Operator: Our next question comes from the line of Pablo Zuanic with SIG.
Pablo Zuanic: Hello, everyone. Just two quick questions. One, in the U.S. business, we have heard from Boston Beer and other companies, so they are more competitive off-premise at the retail environment. My question there is for you. Over the last year, do you have more space there? You have both these craft brands, you have launched new products, new extensions. What’s your competitive landscape at retail, but do you have more space or is it the same space and you are going to swap brands for brands? That’s one. And the second one when we see other companies developing the root beer category or the cider category and you follow that with joining [indiscernible] do you really make an impact? Are you going to do anything in root beer? And why – I mean, I would call these how hard their efforts. We do our disruption network and power. You would think that you will have done better in cider. If you can answer those two questions, please? Thanks.
Carlos Brito: Yes. In terms of our off-premise, you are right, I mean, there have been more brands listed. And the planogram, as I said before, answer another question has been more fragmented. Of that end, what you would just see from IRI data and these are all public numbers, is that retailers that went too broad and wild in terms of assortment ended up losing share of total business, total beer and retailers that increased its assortment for sure to grow along consumer trends for more choice, but did it in a more rational way and trying to look and trying to look at the rate of sales and share of space, performed better. And those are the numbers who are playing back to our clients because – customers, because some of them increased assortment a lot thinking that that’s what consumers wanted. And at the end, they lost share business. So it’s the guy that’s doing it in a rational way and that’s really gaining share within the category. And the explanation is very simple, I mean if you replace space of Bud Lights for a local brand that will sell a six pack per month as opposed to Bud Light selling I don’t know, 4, 5, 6 packs for that one front per day. I mean, of course it’s – that’s a business that for customers because customers who will get to the Bud Light will be one just replenished, we are out of stock because I have less space and a part of it turns a lot and so on. So I think there is much to be done here. But I think retailers are kind of going back some of them and trying to understand how come introduce more complex and more assortment, more working capital being tied up and much harder to manage all that. So they did all those investments and they are losing share category. And others are being more realistic and more using more common sense. In terms of deals either, I think you are right, the think will relate to the cite of game and that again it’s not only joining of proceed, we have cigarette, that’s doing well in its segment of high-priced sales and especially on trade and draft. So no excuses here, just the facts. And we are clear, we have our best beer company and that is something that we will start churn new products. That’s a category where consumers like to try different products, where brand loyalty is much lower than in the overall beer category and people like to try new things all the time. So that’s the D&A of that segment.
Pablo Zuanic: Brito, can I just follow-up on China. I mean to me long-term, that’s the most strategic market for you, not Brazil, not the U.S. And two quick questions there, at the Guangzhou seminar, we didn’t hear much about Sedrin. I know you said that your top three focus brands there are up. But on my math, 60% of portfolio Bud and Harbin are doing well, but Sedrin is down 10%, that’s about as of your portfolio. So the question is 40% of your business in China does not seem to be doing well. And then follow-up to that, just provide some color on Sedrin, we didn’t hear much about that and it doesn’t seem to be doing too well? Thanks.
Carlos Brito: Well, on Sedrin, well if you go to, I think page – I can’t remember the page, but to Page 17 I think on our presentation that we just did. What you see in China is that the super premium segment and premium segment are going way ahead in the core. They are going way ahead of core value. And you saw that in our presentation in China. What’s also chose that super premium where Corona [indiscernible] sits – where they sit and the premium segment where Budweiser sits. The profitability is 5 time to 9 times the profitability of core value. And just to go back to your questions, Sedrin, sells most of its portfolio in the core and core plus. So what’s happening in the two provinces, where Sedrin has a big market share, is that we are cannibalizing ourselves with brands that have 5 times kind of margins that we have in Sedrin products. And that’s why our mix in China continues to grow and our volume continues to be totally detached from the industry. Look at this, the industry decreased by 6.9% in the third quarter, our volume was down 1.3%, so a five percentage point detached and more than 5%. Then for the year, the industry declined 5.4, on volume 0.5 up, so six percentage points. So I would look at margins, our detachments from the overall industry and our portfolio continues to grow and our top line that’s doing very well and Sedrin is part of that, and that’s going to replace some lower macro products in Fujian for example for much higher macro products, like Budweiser, Harbin Ice and Corona. That’s the way to look at it. It’s not cannibalizing ourselves in those two provinces.
Pablo Zuanic: Thanks.
Carlos Brito: Thank you.
Operator: Our next question comes from the line of Caroline Levy with CLSA.
Caroline Levy: Thanks. I was actually going to ask about China, because the decline in per capita on beer just for the industry seems a little bit inconsistent with rising per capita wealth, do you think that continues for a long time just as people trade up, they are also going to drink less?
Carlos Brito: Caroline, I think what’s happening in China at this point is that there is a big change from an economy that was all lead by exports and heavy investments in fixed assets, okay that generates a lot of blue-collar work or jobs to now an economy that’s much more service and domestic oriented economy. So more consumption, more consumer spending. So that of course, in the midst of this change, we see that in the Southeast, where some years ago there was lack of blue-collar workers and now there is too many of them. So there is a shift in there and I think that’s what the segments are showing us. But the segments that are more high priced are growing ahead of the ones that are lower price. And that’s exactly where we have most of our business and most of our brands position. So I think this change, while it may be bad for the industry, is not bad for us. Of course, we could have an industry and its trend it could be even better, but what we showed in China in our story too was that when you look at the profitably of the beer industry in China, today we have most of it in terms of having the highest EBITDA take of data pool in China. So that impacts the fact that we decided early on to that on the segment that 10 or plus years ago we are not that obvious were the winning segments, but now we are very clear the winning segments, especially given where the economy is going.
Caroline Levy: Excellent. And thank you. And just because you are so strong in Brazil, could you talk about whether you think the economy stays this bad, gets tougher like what – and whether there could be more tax increases coming, I guess one state, São Paulo, I think is talking about higher taxes.
Carlos Brito: Well, it has been a tough year. I think the good thing is that given the environment, our guys have really done a good job of showing up our business and really getting that volume gain, getting that net revenue to grow and the EBITDA to grow, so on of course organic local currency basis. So that has been very good. The brands are also doing very well premium and all that as we have said before. I think in terms of taxes, the federal tax called as just it is used, it’s an enhancement of the old one. It provides greater simplicity, predictably and we will ensure that in tax collection we will continue to grow. So and it has just been changed. In terms of states, you are right, we had 26 states in the Southern district in Brazil and they all had different tax loss. And yes, there is always a risk that states could increase taxes, but one thing is always the case. In case of the tax increase, we will pass it through to price the consumers, always. So we will see if states understand that at the end of the day what they wants not to increase the rate they want to increase the tax collection. And what we are trying to show them is that there is a little twist in our business like any business. And as we pass it to consumers, sometimes collections aren’t necessarily going to be bigger and jobs are going to be lower for sure. So that’s the trade-off we have been always talking to states.
Caroline Levy: Thank you so much.
Carlos Brito: You’re welcome.
Operator: Ladies and gentlemen, we have time one more question. Our final question comes from the line of Mark Swartzberg with Stifel Nicolaus.
Mark Swartzberg: Yes. Thanks. Good morning. Two questions, one North America, one Mexico. North America, it seems these nine months figures are – might be a reasonable proxy for your ability to grow profits there. I have realized each year is unique, but what I am getting at is EBITDA is down 2.5%, revenues flat, your shipments are in line with your STRs, you are spending to defend share. I appreciate that you are trying to grow share, but if we take a more bearish view that there continues to be a struggle to grow share, do think you can actually put up EBITDA growth in North America or is it more likely that we see this kind of low single-digit contraction in North America from an EBITDA perspective?
Carlos Brito: Well Mark, as you know we are not going to give guidance there. All I wanted to say is that many things work in the U.S, okay. But we have gaps. And we have a gap on Bud Light. We have gap in Rita’s that are very profitable, very profitable segment. And we have gaps in the Mexican imports. So we tend to be opportunistic and bullish about the U.S. We have always been that’s why we came here. It’s an amazing market, very profitable market, but we need to fix those gaps in order to get net-net a sustainable growth, back on the sustainable growth path. And that’s what we are committed to do. So again, Bud Light we already commented on the Blue agency positioning, packaging for next year. Felipe has already commented on Rita’s Splash trying to plug the gap that we have there in terms of ABV and glass package. Mexican imports [indiscernible] but of course, we need much more than that, because with the Mexican – really in Mexico and in the U.S., we are totally underrepresented to say the least in the Mexican import category. So, three big opportunities. And then you have Budweiser looking much better, Michelob Ultra, Bud Light Lime, Stella Artois, Craft and Premise. So, I think as we get those gaps bridged, we continue to be very bullish on what our business here can generate.
Mark Swartzberg: That’s great. And really hats off on Budweiser, that is impressive, not only here, but obviously, around the world. But the second question is simply Mexico, if we take a longer term view, is it reasonable to think, obviously the volumes slowdown a bit. You continue to take share, but you get better price mix there. So, I am trying to think about long-term revenue growth here and I am thinking its high single-digits. I know you are not going to give us a per annum guide, but just trying to think about specifically the revenue per hectoliter, can that improve as these premiumization efforts pick up?
Carlos Brito: So, I think the other fact in Mexico will be like in any other market of ours, a function of three things, revenue management initiatives, premiumization, and in Mexico specifically like Brazil if we increase our own distribution. And let’s be realistic. I mean, premium in Mexico is only 3% of the industry volume. So, think about the potential we have there. And again, think about Brazil that for years and years and years, the thing didn’t grow. One day, it clicked and then it’s growing, growing, growing. So, I think in Mexico that’s a reason to believe that there is an underlying, just like in China and Brazil, thing in there that could help net revenue growth. And again, there is no guidance here. It’s just a statement of fact, again, 3% of the industry being premium. And we have two players that are investing heavily on that.
Mark Swartzberg: Great. Thank you, Brito.
Carlos Brito: Welcome, Mark.
Operator: That was our final question. I would now like to turn the floor back over to Carlos Brito for any additional or closing remarks.
Carlos Brito: Yes, I do have some. Yes, thank you, Jackie. So to recap, the third quarter was a solid quarter and we should deliver strong revenue and EBITDA growth with a very good performance from our three global brands. Looking at our four top markets, just to summarize, market share continues be a challenge in the U.S., but many things are working well. We will continue to invest behind global brands and programs, while continuing to work on growing Bud Light, improving the results from the Rita’s Family, and gaining share in the Mexican imports segment. Mexico and Brazil performed very well in very different macroeconomic environments. China also continues to gain share despite a slower economy driven by our focus on the growing premium segments. Finally, SABMiller, obviously, we are very excited about the future opportunities that will be created by possible combination with SABMiller and are working hard towards the announcement of a formal transaction. However, it is not coming at the expense of organic growth, accelerating revenue growth remains top for our agenda. With that, thank you very much for your attention today and I look forward to talking to you again soon. Thank you. See you next quarter. Have a great day. Bye.
Operator: Thank you. This does conclude today’s teleconference and webcast. Please disconnect your lines at this time and have a wonderful day.